Operator: Welcome to the Kirby Corporation 2014 First Quarter Earnings Conference Call. My name is Daniel and I'll be your operator for today's call. (Operator Instructions). Please note that this conference is being recorded. I will now turn the call over to Steve Holcomb. Mr. Holcomb, you may begin.
Steve Holcomb: Thank you for joining us this morning. With Sterling Adlakha and myself and Joe Pyne, Kirby's Chairman, David Grzebinski, Kirby's President and Chief Executive Officer and Andy Smith our Executive Vice President and Chief Financial Officer. During this conference call, we may refer to certain non-GAAP or adjusted financial measures. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures is available on our website at kirbycorp.com in the Investor Relations section under non-GAAP financial data. Statements contained in this conference call with respect to future are forward-looking statements. These statements reflect management's reasonable judgment with respect to future events. Forward-looking statements involve risk and uncertainties. Our actual results could differ materially from those anticipated as a result of various factors. A list of these risk factors can be found in Kirby's Form 10-K for the year ended December 31, 2013, filed with Securities and Exchange Commission. I will now turn the call over to Joe.
Joe Pyne: Thank you, Steve. Yesterday afternoon we announced record first quarter earnings of a $1.09 per share. These results included a $0.03 per share of severance charges and an estimated $0.03 per share earnings impact from the result of weather and insurance deductible cost, but they still fell low within the our published range of $1.05 to $1.15 per share given in January. This compares with a $1 per share reported in the 2013 first quarter. A quarter that included $0.05 per share benefit for the reduction of the earnout liability associated with the acquisition of United Holdings in April, 2011. During the quarter, our inland and coastal tank barge fleets continue to experience healthy levels of demand across all their markets. High equipment utilization and favorable pricing trends. We did experience higher than anticipated delays in our inland marine operations caused by weather in the Midwest which persisted longer and we had estimated in our first quarter guidance. Severe ice conditions restricted our movements on the upper inland river system and extended beyond, which what is typically expected for most years. We also saw greater than normal delays in our inland business along the Gulf Coast because of winter weather systems. With respect to the coastal marine operations, they were also impacted by weather. The cold weather in the Northeast did provide some offsetting benefit in the form of higher heating oil volumes transported in the Northeast. With respect to our land-based diesel engine market, it showed modest signs of improvement during the quarter. We think this market will continue to improve this year and we should see more material recovery in this business later this year. With the change in roles at Kirby, the cadence of our earnings call will change slightly. David will discuss our quarterly results and provide more detailed on a marine transportation and diesel engine service markets. Andy will then provide the financial update, after Andy's comments David will conclude with some comments about our 2014 second quarter full year outlook. Before I turn the call over to David, I do want to comment both on our succession plan and the incident that involved a Kirby vessel that occurred in Houston Ship Channel on March 22. With respect to the succession plan, last night we announced the boards of David Grzebinski as our President and Chief Executive Officer and his election as a Kirby, Director. When we announced the plan to transition that role in April, 2013. When we first announced it, I'm very pleased that the board chose David. I plan to continue to stay as an Active Chairman of the Board and look forward to working with David in his new role. I also intend to transition the principal Investor Relations role for Kirby from Steve Holcomb to Sterling Adlakha, this year. Steve has working with Kirby for 41 years and has done a superb job heading our IR effort. Steve will remain with Kirby helping with our SEC filings and ensuring a smooth transition. With respect to the very unfortunate incident in spill that involved the Miss Susan on March 22. We are very grateful for the high level of cooperation and coordination shown by Federal State and local agencies and the US Coast Guard in the cleanup efforts. Under the Pollution laws of the United States, as Kirby owned the barge carrying the product will require to pay for the cleanup which has gone very well. As of today, the cleanup effort is essentially complete. We will in coordination with all these agencies continue to monitor the affected areas for any lingering effects and will respond accordingly, but we don't expect there will be much left. Cause of the accident is still unknown. The Coast Guard and the National Transportation Safety Board are in the process of carrying out their investigation and there is no time limit set for its completion. With respect to the financial impact, we have reserved $100 million on our balance sheet for the claim, aside from the $1 million deductible. We expect our insurance to reimburse us for all these cost. As a company, we carry $1 billion of insurance for pollution and liability exposures. I'll now turn the call over to David.
David Grzebinski: Thank you, Joe and good morning. Let me first say that is both an honor to be elected by the Board as Kirby's CEO and an immense challenge to follow in the footsteps of such a great leader as Joe Pyne. I'm very grateful for the opportunity to be Kirby's CEO and I look forward to continuing to work with Joe as Executive Chairman. During Joe's almost 20-year tenure as CEO. Kirby has compounded its earnings had greater than 15% per year and the stock prices increased to over 1,144% compounding it approximately the same rate as the earnings. Joe's leadership has been truly remarkable and it's comforting to know that he will still be around as our Chairman. Now I'll turn to our marine transportation business, during our first quarter the inland marine transportation sector continued its overall strong performance with equipment utilization and 90% to 95% range and favorable term and spot contract pricing. As Joe mentioned, we did experienced high delay days during the quarter. Which was primarily a result of the heavy winter weather that created freezing temperatures on the upper Ohio, Illinois and upper Mississippi Rivers? We also experienced as Joe mentioned numerous frontal systems along with Gulf Coast with high winds and fog. So delay days totaled almost 2,900 days which was over 40% higher than the roughly 2,000 delays reported in the first quarter, 2013. Most of the poor weather that we experienced on the Mississippi River system in the quarter subsided by late March. However frontal systems bringing fog and high wind up to the Gulf Coast did continue to negatively impact our Gulf Coast operations through the end of April. However at this time, operating conditions throughout most of River System and on the Gulf Coast are favorable. For the first quarter, inland transportation revenues from our long-term contracts that is contracts greater than one year or longer. We are about 80% revenue with 57% from time charters and 43% from contracts of affreightment. The increase in term contracts as a percent of revenue from last year is a direct result of a decrease in spot contracts moves resulting from the difficult weather. As more equipment was required to meet the term contract volumes. Going forward, we expect the percentage of term and spot contract revenue to trend back to the 75%, 25% level which was consistent with 2013. Inland marine transportation term contracts that renewed during the first quarter increased in the low-to-mid single digit level when compared to the first quarter a year ago and spot contract rates which include the price of fuel increased modestly compared with the fourth quarter and they still remain above contract rates, which is consistent with what we experienced through 2013. Our coastal marine transportation sector also continues to perform well with utilization in the 90% to 95% range which is above the 90% range we saw through most of 2013. And during the first quarter approximately 80% of the coastal revenues were under term contracts compared with 60% for the 2013, first quarter and 75% for the 2013, fourth quarter. All the coastal product markets remain strong and last night, we announced the Board of Directors has approved the exercise of our option to construct a second 185,000 barrel coastal tank barge and tug boat unit on the West coast and the estimated progress payments for this additional unit are included in our updated capital expenditure guidance. In addition, the board also approved the construction of two new 155,000 barrel coastal tank barge and tugboat units and the cost of these units will depend on our discussions with customers, horsepower size, market conditions and steel prices at the time when we enter into shipyard contracts. We expect to have those vessels under contract prior to the deliver and we expect the total cost to construct both ATB's to be in the range $125 million to $145 million. The bulk of the cash expenditures for these two additional vessels is expected in 2015 with delivery dates somewhere in the mid-2016 range. With respect to coastal marine transportation pricing term contracts that renewed during the first quarter increased in the high single-digit range when compared to the first quarter year ago and spot contract rates which again include the price fuel continue to improve during the quarter and remained above term contract rates. Moving to the diesel engine services segment. The first quarter reflected positive results across most of the market and our marine diesel and power generation markets demand was generally stable. However, there was some improvement in the Midwest, East coast and Gulf Coast marine markets. The land-based diesel engine business service market benefitted from an increase in both the demand for oil field equipment and the demand for service. We did sell a small number of new pressure pumping units in the quarter and we are seeing heightened demand for remanufacturing. So we are cautiously optimistic that demand will continue to improve in 2014 and there will be a more sustainable improvement in this business, the land-based business by the end of this year or early next year. I will now turn the call over to Andy for some detailed financial information and then I'll come back and discuss the outlook.
Andy Smith: Thanks, David and good morning. In total marine transportation segment revenues grew 4% and operating income grew 9% as compared with the 2013 first quarter. The inland sector contributed approximately 70% of the first quarter marine transportation revenue and the coastal sector approximately 30%. Our inland sector generated first quarter operating margin in the mid 20% range. Now the coastal sector operating margin for the first quarter was in the high-teens compared to the mid-teens margin for the 2013 first quarter. Overall, the marine transportation segments first quarter operating margin was 22.4% compared with 21.3% for the 2013 first quarter. With respect inland tank barge capacity, during the 2014 first quarter. we took delivery of 27 new tank barges totaling approximately 290,000 barrels of capacity and retired 10 tank barges removing approximately 135,000 barrels of capacity and that result was an addition of 17 tank barges to our fleet and an increase to our inland capacity of 155,000 barrels, turning our total inland tank barge capacity to 17.4 million barrels. I previously announced 2014 inland transportation construction program including those barges that delivered in the first quarter was expected to consist of 66 inland tank barges with a total capacity of approximately 1.3 million barrels. Currently, we expect to finish 2014, with approximately 18.1 million barrels of capacity or 700,000 barrels above our current 17.4 million barrel capacity level. Moving onto our diesel engine services business. Revenues for the 2014 first quarter increased 9%, while operating income was 9% compared with the 2013 first quarter. In 2013, we had a $4.3 million benefit to operating income from adjusting the earnout for United Holdings. Adjusting for the effect in the earnout benefit in 2013, operating income was up approximately 30% quarter-over-quarter. The segment's operating margin was 8.3% compared with 10% for the 2013 first quarter of 6.9% excluding the earnout benefit. Our land-based operations contributed approximately 60% of the diesel engine services segment's revenue and swung the profitability this quarter with a low-to-mid single digit operating margin. As David mentioned, we are seeing real signs of improvement in our land-based operations with a pickup in the sale of engines and transmissions, parts and services as well as the sale of some new pressure pumping units. Remanufacturing demand while slow in the first half of the quarter increased in the last month of the quarter. We continue to expect more meaningful improvement later in the year or early in 2015. The marine and power generation operations contributed approximately 40% of the diesel engine services revenue with an operating margin in the mid-teens range. On the corporate side of things, we continue to pay down our debt during the 2014, first quarter. Thanks to continued strong cash flow. Our 2014 capital spending guidance is currently in $320 million to $330 million, including approximately $135 million for the construction of 66 inland tank barges and inland towboat approximately $55 million in progress payments on the construction of 185,000 barrel ATB's scheduled to be in service in mid-to-late 2015 and approximately $25 million and progress payments on the second 185,000 barrel ATB to be placed in service in the first half of 2016. The balance of $105 million to $115 million is primarily for capital upgrades and improvements to existing inland and coastal marine equipment and facilities as well as diesel engine service facilities. Total debt as on March 31, was $708 million. A $41 million reduction from our total debt of $749 million as of December 31, 2013. Our debt-to-cap ratio fell to 25.3% as of March 31 compared with 27% as of December 31, 2013. At March 31, we had no outstanding borrowings under our revolving credit agreement compared with $41 million as of December 31, 2013. This morning our total debt outstanding was $695 million, a reduction I'm sorry of $13 million since the end of March. I'll now turn the call back over to David.
David Grzebinski: Thank you, Andy. Let me talk a little a little bit about the outlook. In our press release, we announced our 2014, second quarter guidance of $1.25 to $1.35 per share. This compares with $1.11 per share earned in the second quarter of last year and that quarter included $0.07 per share benefit due to the reduction of the United earnout liability. For the 2014 year, we raised our guidance to $4.80 to $5 per share compared with $4.44 in 2013. Remember also that, the 2013 earnings included $0.20 per share benefit due to elimination of the United earnout. Our second quarter guidance assumes a modest improvement pricing for our inland marine transportation market with normal improvement in seasonal weather patterns. It also assumes a continued strong coastal market with higher term in spot contract pricing. For our diesel engine services group, we are cautiously optimistic that we have seen the bottom of the cycle for our land-based market and should see improvement continuing throughout 2014. Our second quarter guidance also assumes our diesel engine services marine and power generation markets will remain stable. The primary difference in our 2014, second quarter $1.25 low-end and $1.35 high-end guidance range is related to different assumptions regarding seasonal weather conditions on both our inland and coastal marine transportation markets and the level of improvement in our land-based diesel engine services market. For our full year 2014 guidance, $4.80 to $5 per share. The primary drivers between our low-end and high-end include the potential improvement of the land-based diesel engine services market and utilization and operating conditions for our marine business. In summary, the year has begun on very solid footing with 2014 forecast to be our fourth consecutive year of record operating results. Our balance sheet is strong, our excellent cash flow allows us to continue to build new inland and coastal equipment as well as to continue to pay down debt and we still remain optimistic for potential acquisition. So with that, I'd like to turn the call over to questions.
Steve Holcomb: Operator, can you open the lines?
Operator: Yes, of course. We will now begin the question-and-answer session. (Operator Instructions) I have question from Jack Atkins from Stephens.
Jack Atkins – Stephens Inc: So I guess, just to start off with David to go back to your last point on the M&A environment. I'm just curious to get a sense for how you see that today; clearly demand is robust across most of your business lines and improving in the diesel engine business. Are you still seeing in the opportunities that, you would regional prices and if you don't see those opportunities out there? How do you think about managing the balance sheet in terms of deleveraging versus return in cash to shareholders?
David Grzebinski: Thanks, Jack. As you know and as you stated, the market is pretty good right now. Demand is high and looks like it's going to be that way for a while. So price expectation of sellers are pretty, they're more likely to not meet our return hurdles, if we pay the full prices they might be asking, so but you never know as you know a lot of our potential acquisitions have unique situations. They could be sole proprietors and what not, but price expectations of sellers is clearly up given the strong demand, so the likelihood of an acquisition is probably not as high as we'd like, but there's always possibilities out there. That said, in the absence of acquisitions we're, what you see us doing is building some capacity and we've talked to you this about this before. There's times to build capacity, there's time to do acquisitions, there's times to delever and then there's times to buyback your stock and clearly we are in at that time, where we believe it's time to build capacity and you see us building both inland and coast-wise capacity. With that said, we are constantly talking to the board about potential dividend and we will continue to evaluate that. But right now, we think we've got some good news for our cash.
Jack Atkins – Stephens Inc: Okay, great. Thank you, David and then as a follow-up, just curious to get a little more color on the improving fundamentals within the diesel engine services business on the land side. I think their business took up, a nice step forward in the first quarter just curious to know what your customers are telling you about their plans and expectations for the remainder of the year and how do you think about capacity within that business and would you look to selectively add some capacity, if demand continues to improve?
David Grzebinski: Clearly, we've come off the bottoms that we saw last year. The land-based diesel engine business improved from kind of modest slight loss last year in the last two quarters to mid-to-low single digit operating margins this quarter. As we said that there is some increased demand for service and parts in equipment as well as you heard some new frac units we sold, we continue to see that building our, the enquiry level is up considerably customers are quite constructive about their needs and the desires going forward. I think from our perspective, we've got to get the margins up pricing is still depressed and we've got some work to do there. So that's going to take some time to play out but that's going to be our focus here in this year trying to get those margins up to where we think, they need to be.
Jack Atkins – Stephens Inc: Great, David. Thanks so much for the time.
Operator: I've a question from Michael Webber from Wells Fargo Securities. Michael, please go ahead.
Michael Webber – Wells Fargo Securities: Again congrats to David and Andy and everybody for their new roles.
David Grzebinski: Thank you.
Andy Smith: Thanks.
Michael Webber – Wells Fargo Securities: I wanted to stay on coastal and David in your remarks. I believe you gave a range to those 280, 000 barrel that just got board approval, I think $125 million to $145 million in total and I think they would come in a bit cheaper than the previous two, I guess they're the ones that's under construction and the one you just bought, is that the function in the fact that they're a bit smaller or that you guys getting a bit more scale with the order and exercising those options and then, if you can talk a bit about the kind of contract tenure that you're clients discussing and the kind of geography in terms of where you think they'll end up trading?
David Grzebinski: Sure, now the first two that we – well the first one we announced was the 185,000 barrel. So it's a little bit bigger than the 155,000. So there's a price difference there, and a big driver on price difference is certainly horsepower, right? The 185,000 requires a higher horsepower and horsepower cost are high, so the size is the probably the biggest differentiation there but, the range really depends on the customer's requirements and the horsepower. There's horsepower difference that you can use for the 155,000. You can use the 6,000 horsepower and 8,000 horsepower so that's why we have a range there. A lot depends also on where we end up with final customer requirements because there are certain things you can do to the barge to meet certain customer needs. Initially, the 185,000 are on the West coast, we are building them up there it's cumbersome as you know. The other two barges that's yet to be determined, we are in discussions with customers now about that. So it's little premature to share with you, where they might be working and well we wouldn't want to comment on those anyway. Hopefully, that gives you [indiscernible].
Michael Webber – Wells Fargo Securities: No, that's helpful and then just to kind of follow-up on that. You question, missed is a bit, but I kind of wonder to expand on it. You mentioned, obviously the asset values are pretty high here and then you comment on that, in your M&A discussions. Just where are returns right now on newer, larger scale coastal assets. If you think kind of incrementally, where we could go from here. I mean, I'd assume that pricing is picked up to the point that you guys feel comfortable stepping in a new build again, but from here how much incremental upside you think you could see to asset values and or the pricing?
David Grzebinski: Well, we continue to see – well first let me address that we fully expect to get our 12% after tax return on our vessels, the new build, but we continue to see high-single digit price increases on the coastwise business. If you think about it, we are seeing pretty strong demand increasing demand in product moves across the business. You've got a supply if you think about the fleet in the coastwise business. In our market, what we think about the barges less than 200,000 barrels. There's about 265,000 barges in a good 45 of those are older than 30 years old. So we could see supply come out just from that. It's a long went to way to saying; we would expect the pricing in the market dynamics to remain in place for a while.
Michael Webber – Wells Fargo Securities: All right, that's helpful. Thanks for the time, guys.
Operator: I've a question from Jon Chappell from Evercore. Jon, please go ahead.
Jon Chappell – Evercore Partners: David on the diesel engine services part. The kind of little bit renewed optimism for the end of this year and into 2015, just trying to decipher, how of much of that has to do with kind of the transition that you have been speaking about over the years to the remanufacturing side of the business and you mentioned that you needed to get the price up in the land-based and I'd assume that was for the OEM, but seems like the slow transition maybe finally starting to occur and how much of the optimism is associated with that?
David Grzebinski: Yes, I mean it's a mixture of both remanned and new equipment. Certainly service in parts too, spare parts and service are increasing with the age of this fleet. So it's a mixture of both, I wouldn't say it's being led by reman. Clearly, it's still very early days in remanned and our focus is been to get our capacity and throughput up on that and to get the remans to proceed quicker through our facility, but it's still developing and still early days, but I would say the improvement is across all parts of the land-based business whether it's part service, reman and some new OEM equipment.
Jon Chappell – Evercore Partners: Okay that helps and then as my follow-up, just in the inland business to pricing. You mentioned, this is going to sound like new picking but assuming you're out and you mentioned the pricing the term contracts is up, low-to-mid single digits and the spot price is up. I wrote down modestly, seems like maybe that's a little bit lower than some of the ranges you'd given in previous call. Strengthen that core business kind of [plateauing] a little bit and maybe just spoken about the risk of eventually overbuilding this market. Are you starting to see, the capacity is starting to catch up with the demand a little bit, are we still a little bit away from that?
David Grzebinski: No, we think we are away from that. We are still running 90% to 95%, essentially fully utilized and every new barge that comes out is of the shipyard is immediately put to work. Renewals have been flow; we don't renew all the contracts all at once the one period of the year. So they have been flow. I wouldn't read anything in to that, we are still very positive. Well as you saw this building 29 new, 30,000 barrel barges. It looks like things are good for a while.
Jon Chappell – Evercore Partners: Great. All right, I appreciate it. Thanks, David.
David Grzebinski: Thank you, Jon.
Operator: I have a question from Ken Hoexter from Bank of America. Ken, please go ahead.
Unidentified Analyst: Hi guys, this is actually [Sean Collins] on Ken's team. Good morning.
David Grzebinski: Good morning, Ken.
Unidentified Analyst: Your business is obviously doing very well and you're experiencing strong demand. Can you comment on what you're seeing on the domestic economy side? Obviously first quarter weather slowed things down, but if you had to normalize with that, how does the economy look out there?
David Grzebinski: We are kind of in this shale, gas and liquid renaissance. So we're little – we are benefitting from that and I would say almost in spite of the economy. The economy is still little tepid. When you think about, particularly in our coastwise business. A good part of what we move is refined products and refined products are really diesel, gasoline, jet. Those volumes are up and demand is up, but it's not which you would have expected and hope from the economy. If the economy really gets going again. We could see the more demand from our perspective both on the refine product side and then the asphalt some of what we move coastwise is asphalt, which is driven by home building and road construction and whatnot. I think the economy is kind of mixed from our perspective, but we are benefiting from this shale gas and oil renaissance more than anything else.
Unidentified Analyst: Okay, that's great. That's helpful. Thank you. You estimate that the weather cost you $0.03 in the quarter. can you just, so I guess it's almost $2 million. Can you just talk a bit about what's in that number and how that worked out?
David Grzebinski: We said $0.03 I think, but what would be closer to $3 million and $2 million, but when weather gets tough what happens is you slow down. You can't move in and part of what we do on the inland side, is we have time charters, which is 57%, but then 43% our contracts of affreightment and contracts of affreightment just a simple flight, might be where we get paid x dollars to move from point A to point B and then when weather comes, those contracts of affreightment slow down, you're not as efficient. You got to go slow; you may get delayed by fog. So that really is what impacts you and then you may also have to add horsepower depending on the situation. You move slower particularly in the ice conditions on the upper River System. We had to move a lot slower and add some horsepower there. So plus you, the ice believe it not beats up the boats and barges. So we had a little bit of extra maintenance expense to repair some of that equipment that got beat up by ice. So it's a mixture of things and I don't know, whether it answers your question [Sean], but it's hard to be more specific than that.
Unidentified Analyst: That's helpful, insight. I appreciate it. Okay, thank you very much, guys.
Operator: I have a question from Gregory Lewis from Credit Suisse. Gregory?
Gregory Lewis – Credit Suisse: Dave, I guess my first question is related to in ended March you announced – that you were going to go back and order more inland barges and then I guess of those 29 inland barges. I guess it looks like, 18 of those were from shipyard contracts from another operator that were, I guess not exercised, is that what happened could you explain a little bit the genesis behind that order being place?
David Grzebinski: We had a competitor that – to use the word afraid got out, a little over his skis and was really about being able to handle those additional barges from accruing and boat standpoint. At first he wanted us to charter those barges from inland. Of course, we didn't want to do that. We'd rather own them outright. So it was a win-win for us. We are able to keep the capacity coming into the market for our competitor and get the capacity ourselves. So we basically stepped into that gentleman's contract with the shipyard.
Gregory Lewis – Credit Suisse: Okay, well great that seems really got in. and then just real quick on the pressure pumping or the [DS] business. What we think about, I guess two years ago, when I believe it was a new unit cost about $1 million and a remanufacture unit cost, I think you were quoting $500,000 to $600,000. In terms of pricing as we look right now, is that kind of where the rates, is that kind of where pricing is, is it sort of up from that those levels, down from those levels sort of as come out of the cycle?
David Grzebinski: Yes, I think pricing is so much customer dependent and equipment option dependent as you might imagine and particularly on reman, you just never know what you have to do but I would just say this, the pricing is not where it needs to be, it's lower than it is and you see that in our margins. We do need to push some pricing up going forward, so and you would expect that coming out of the bottom of the cycle which I think is the nature of your question.
Gregory Lewis – Credit Suisse: Okay, guys. Thank you very much for the time.
David Grzebinski: Thank you, Greg.
Operator: Okay. I have a question from Kevin Sterling from BB&T Capital.
William Horner – BB&T Capital Markets: Good morning, guys. This is actually William Horner on for Kevin. David, going back to the coastal business for a second and I appreciate the color you gave in the supply side, but more focusing on utilization which as you noted picked up a bit this quarter despite some of the challenges from the weather, kind of given the current market conditions. How much higher do you think utilization can go?
David Grzebinski: Yes, it's similar to the inland 90% to 95% year essentially fully utilized. So it were, you know at coastwise because coastwise has some more time charter it's 80%, time charter it can get a little better but affectively full utilization is 95%.
William Horner – BB&T Capital Markets: Okay, thanks. I appreciate that. And from a follow-up, with the drawdown of crude [cushion] recent months with the result in supply go out in the Gulf Coast. Are you seeing any direct impacts to your inland or coastal volumes in there as a result of the supply go up?
David Grzebinski: No, I don't think so we haven't seen that.
Operator: I have John Mims from FBR Capital Markets. John, please go ahead.
Chris Carey – FBR Capital Markets: Hi, guys. This is Chris Carey on for John. I just wanted to get back to the diesel business. We've been expecting some improvement there for a long time. This quarter was certainly a step in the right direction, but I'm just kind of wondering how you guys think about tracking the potential development of that business. Is it really just a function of order enquiries, pricing enquiries or is there a serving measuring stick that you guys use to kind gage the outlook in that business, beyond those enquiries which I mentioned?
David Grzebinski: This external gage's that we look at, certainly the land-based rig count and the horizontal rig count. We look at and that gives you some indication. The other thing, we look at lot is, you can see the pressure. The public company, oil service companies that have pressure pumping exposure. They'll often talk about their North American land business and where their pressure pumping margins are going and you can see in recent announcements that things are improving. Once their margin start improving, they get a lot more constructive with their capital spending and their maintenance and repair budgets. So that's the kind of external indicator that we look at.
Chris Carey – FBR Capital Markets: Okay, yes that's helpful and then you know on the margin progression in that business. Given what you just said, do you think about possible margin expansion that business – will on the pricing side given that it is quite low currently or they're still kind of operational efficiency improvements that you can make within that business, kind of squeeze out additional margins?
David Grzebinski: Good question, there. Our margins that we said this quarter were low-to-mid single digits. We think kind of on the OEM side, the assembly and manufacturing side. We should have high single digits margins in and on the reman side and service side should be mid-teen kind of operating margins. And to get there, we are going to need a couple things. Pricing is certainly one aspect, but we also need more volume helps. Right, I mean you get more fixed cost spread and certainly our throughput could help. So it's combination of all, but pricing would certainly be one thing that could help a lot, as volume increases as well.
Chris Carey – FBR Capital Markets: Right, that makes sense and just as my follow-up, I know it's been touched on a couple of times here, but when we were thinking about how to model kind of the barrel additions and the net barge additions in the year. I think, correct me if I'm wrong but I think I heard kind of like 18.1 million barrels is the goal for the full year, is that correct? So when we are thinking about kind of progression. I mean is that, you know about 230,000 barrels a quarter or is it little lumpier than that.
David Grzebinski: No it is very much back and loaded. When we took, we got the Trinity shipyard contract and assumed that position from the other competitor that was late in the year; they were pretty much sold out for most of the year, so we kind of finished off the year for Trinity, so it's back and loaded. It will be kind of late in the year.
Chris Carey – FBR Capital Markets: Okay and you expect kind of net additions to kind of track that same sort of progression. I mean, with the first quarter with about 17 but and we are looking at 66 for full year, If I'm not mistaken there. So on kind of net additions to the full year, are we thinking about. It will track kind of the volume the barrel volume progression as well, as far as being bit more back and loaded?
David Grzebinski: Yes.
Chris Carey – FBR Capital Markets: Okay, now that's all the question, I had. Great quarter. thank you.
David Grzebinski: Thank you, Chris.
Operator: Following question comes from David Beard from Iberia. David, please go ahead.
David Beard – Iberia Capital Partners: I was wondering, if you can just look out into 2015 and 2016 relative to capacity additions. You have been leaning one side, most of the year in taking 58, 66 barges and kind of keeping your market share relative to capacity and you brought your fleet ago down. Do you think, you'll kind of stick within that 60-ish new barge orders for the next two, three years or is there a point where you got a fleet aged where you want and you'd bring that number down and what other guys take capacity or how do you think about that?
David Grzebinski: Well I don't think – we haven't declared yet. I don't know that we will build it that level going forward, but we are still thinking through that and as the year develops and as we one of things it's happening on inland, we move a lot of chemicals and one of the things we are assessing and walking carefully is all the new constructions that's been announced in the chemical space and how that plays out. Those big chemical facilities take – they can take years to just permit. So a lot of that capacity may not come on until 2016, 2017. So we are going to watch and see how that develops and it will be a dynamic decision process at that develops.
David Beard – Iberia Capital Partners: Okay. Maybe you guys have been pretty counter cyclical in terms of investing, which would tell me at some point in time you would put less money in inland barges, I guess that they carry out that the mix can shift towards chemicals, is that still to your which is we'd look out over deliveries for 2015, 2016, 2017?
David Grzebinski: Yes, I mean you know it's well David that we are very return on capital focused and we look at the life of the asset and what it can earn through it life and make sure that we get our returns. So the cycle plays into that, but what we are seeing now is, this cycle is a little longer than most and it continues to develops. So it's really hard to declare any more than that at this point.
David Beard – Iberia Capital Partners: Well, that's helpful. I appreciate the color. Thank you.
Operator: Following question comes from [Nick Bender]. Nick please go ahead.
Unidentified Analyst: Congratulations on the quarter and the new appointments. On the come out, the capacity discussion one more time, can you give us a little bit of sense with the contracts that you've entered into both on the inland side and on the coastal side. What you're seeing at shipyards, what the order book looks like currently and sort of how you feel about that capacity dynamic sitting here in to the beginning of 2014 and what can you map for the future?
David Grzebinski: Let me break that into, first good morning, Nick. Let me break that into to the two segments. The inland and the coastwise. On the inland side; Trinity and Jeffboat, the two largest inland shipyard. Trinity is sold out for this year, from our knowledge and so that kind of puts the cap on the capacity that will come. I think Jeffboat focuses their own buy, American Commercial Line, ACLI. They focused primarily on their own equipment. So it feels like the shipyards are sold out for this year on the inland side. I think they're developing their order book for next year. So it feels like, there is not a lot of extra capacity that could come in the near term. On the coastwise business, it's still early days. There is any number of shipyards out there. We've announced our four units. There was a couple other of our competitors announced one or two. So it's still early days and there appears to be ample shipyard capacity at least for the near term on the coastwise side.
Unidentified Analyst: Great, that's helpful. I mean, you guys have done such a prudent job of sort of aligning the profit exposure in the inland and coastal markets. You know as we see here today and you sort of focused more on some of the new build activity. Do you look out at the market and think of any other products that you'd like to get exposure to or one particular product line, where you would like more exposure than you currently have, that might lead you either down the path of M&A or just organic new build activity?
David Grzebinski: No, you know we are very liquid focus. So pretty much any liquid will move. Now there are, we tend to follow what our customers need and focus on our customers' needs and what their, we have some very long-term customers and as their product mix changes, we tend to adapt and make sure, we have the right equipment to meet those needs. We're – if it's liquid, we are pretty much involved with it now. So there's nothing we need to add from an acquisition standpoint on that side.
Unidentified Analyst: Understood. I'll sneak one more in here real quick. As far as the land-based market goes, is sort of the uptick that you've seen in legacy markets, with legacy customers or are you seeing growth in expansion, in any sort of new geographies or jurisdictions as you'd look the market?
David Grzebinski: No, we're pretty much North American based to domestic US based. However, some of our customers and some of the bigger customers obviously may have a three-man equipment and then they will take it, internationally and in fact we know a couple of them have done that in the past. So but it is primarily domestic focused, which is what you would expect given the shale impact and then in terms of customer mix. We've got this, standard customers and that mix hasn't changed a lot, but we may have picked up a new customers, here or there along the way because of our ability offer to service on it.
Unidentified Analyst: Sure. All right. Thank you guys. Appreciate the time.
David Grzebinski: All right. Thank you, Nick.
Operator: The following question comes from Matt Young from Morningstar. Matt, please go ahead.
Matt Young – Morningstar Equity Research: Good morning, guys. Thanks for squeezing me in. most of my questions have been answered just like to clarify. So when the diesel engine segment, it sounds like you think the right margins for manufacturing should be some around in the high single digits and mid-teens through reman, correct?
David Grzebinski: Yes and it's correct.
Matt Young – Morningstar Equity Research: Could you provide any idea of where the reman margins are now and where they were throughout most of 2013, just generally?
David Grzebinski: Yes, most of 2013, we didn't have enough volume to have our operating margins actually in the positive. So it's really hard to disaggregate it because we didn't have the volume to absorb all our fixed cost. Clearly, we are not happy with where the margins are yet every day we are working to get those margins up, through either getting more efficient trying to get more volume and also get more price. So it's hard to be more specific than that, Matt.
Matt Young – Morningstar Equity Research: That's fair, so I mean the improvement than I know you spoke about this, with any improvement is a combination demand and efficiency which probably most is leveraged from demand at this point?
David Grzebinski: Yes, that's correct.
Matt Young – Morningstar Equity Research: And then can you just remind us real quick, what the mix is to approximately they re-anatomy of customer right now, reman versus manufacturing?
David Grzebinski: Yes, we'd break it into kind of lump spare parts other service revenue and reman together and I'm going to say that's about 70% of our land-based business and 30% is OEM.
Matt Young – Morningstar Equity Research: Okay, that's helpful. All right, thanks.
David Grzebinski: Thank you, Matt.
Operator: Okay and I have no further questions at this time.
Sterling Adlakha: We appreciate your interest in Kirby Corporation and for participating in our call. If you have additional questions or comments. Please contact me, Sterling Adlakha. My direct line is 713-435-1101. We wish you a good day.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating, you may now disconnect.